Operator: Ladies and gentlemen, good day, and thank you for standing by. My name is Abby, and I will be your conference operator today. At this time, I would like to welcome everyone to the Primoris Services Corporation Third Quarter 2024 Earnings Conference Call and Webcast. [Operator Instructions] And I would now like to turn the conference over to Blake Holcomb, Vice President of Investor Relations. You may begin.
Blake Holcomb: Good morning, and welcome to the Primoris third quarter 2024 earnings conference call. Joining us today with prepared comments are Tom McCormick, President and Chief Executive Officer; and Ken Dodgen, Chief Financial Officer. Before we begin, I would like to make everyone aware of certain language contained in our safe harbor statement. The company cautions that certain statements made during this call are forward-looking and subject to various risks and uncertainties. Actual results may differ materially from our projections and expectations. These risks and uncertainties are discussed in our reports filed with the SEC. Our forward-looking statements represent our outlook as of today, November 5, 2024. We disclaim any obligation to update these statements, except as may be required by law. In addition, during this conference call, we will make reference to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures are available on the Investors section of our website and our third quarter 2024 earnings press release, which was issued yesterday. I would now like to turn the call over to Tom McCormick.
Tom McCormick: Thank you, Blake. Good morning, and thank you for joining us today to discuss our third quarter 2024 financial and operational results. Primoris set new records in the third quarter across several key financial metrics, including revenue, earnings, backlog and cash flow from operations. More importantly, our record revenue was accompanied by a higher growth rate in operating income. We have often discussed our objective to not only grow but to grow profitably, and this quarter demonstrates success in achieving this goal. We have positioned the company in recent years to have exposure to some very favorable macro tailwinds that can help drive quality revenue growth. I am proud of our teams for focusing their attention on growing in the right end markets with the right customers and executing at a high level of safety and productivity. Our record backlog was a result of roughly $2.5 billion of new work booked driven primarily by wins in our solar and industrial businesses. Despite the timing of certain awards booked later in the year than expected, we are on track to exceed our bookings target for the year and enter 2025 in a great position. Lastly, record cash flow from operations in the quarter drove us to more than $200 million for the first 9 months of the year and higher than our full year 2023 cash flow from operations. Even with lower-than-expected upfront payments in Q4, we believe we remain on track for a very good year in cash flow and are progressing well toward our near-term objectives. These milestones are only made possible by our employees and their commitment to safely serving our customers. I want to thank them for their hard work and dedication to keeping themselves, their coworkers and the public safe and encourage them to continue to set more records in these metrics in the quarters ahead. Now let's look at our performance for the quarter by segment. In the Utilities segment, revenues were higher compared to last year, driven primarily by increased communications and gas operations activity. Gas operation top line improvement was driven primarily by increased equity in the Midwest. Despite the stronger performance in Q3, we still expect to see the gas business to be slightly down this year, but the team has performed very well in maintaining margins despite the decreased revenue. On the positive front, the California Public Utility Commission recently approved rate increases for 2 of our clients in Southern California to upgrade aging infrastructure and help modernize the system for improved safety and integrity. It is an encouraging sign, and while we are still in the early stages of our planning process, we are optimistic that the gas operations business could trend modestly upward next year as a result of these CPUC approvals. In communications, activities saw a significant increase from the prior year, driven by an increase in fiber-to-the-home investments and network build-outs by hyperscalers. There was also a considerable slowdown in activity in the back half of 2023 that we aren't seeing this year. Profitability and cash flow were also better in communications due to the mix of work with customers with higher MSA rates and better payment terms. Growth outlook in our communications business continues to look favorable despite the delay in rolling out federal spending programs on rural fiber networks, which is yet to materialize. Power deliveries revenue was down compared to the prior year, but margins were significantly improved. This is in part due to downsizing our presence in some geographic areas with underperforming contracts and focusing resources on areas with customers that offer better returns. Margins also benefited from an increase in storm response compared to last year. The month of September, October were extremely challenging for our employees and the communities we serve. 3 named storms led to not just the loss of power, but the loss of property and more tragically the loss of lives. We are very proud to serve our customers, communities and employees by restoring their power safely and quickly as possible. In total, Primoris deployed over 250 crews and more than 1,400 employees to the regions impacted by these storms. These employees worked over 185,000 work hours to help restore power to more than 3.8 million people tragically impacted across Louisiana, Florida, Georgia and the Carolinas. This required working long hours in harsh conditions and the use of specialized equipment in order to get these communities back online. We even had employees leave their own homes in disrepair in order to travel to other parts of the country to help neighboring communities. With -- these employees and their families, we set up an emergency storm team call center that employees could contact to request Primoris' assistance in obtaining food, water, generators who want to report damage to their homes in order to receive additional support in an effort to get them back in order. I want to congratulate all the Primoris employees who served in response to these storms and thank them again for truly demonstrating the power for Primoris. Turning now to the Energy segment. The renewables business was a primary driver for the increase in segment revenue, surpassing the $1 billion mark for the quarter. In renewables, the market for our solar EPC services and product solutions continues to see very high demand. We believe we are one of the best performing service providers in the market and continue to have very strong customer relationships that have allowed us to successfully navigate challenges some of the industry have been experiencing. While we saw some contract signings pushed out in the first half of this year, this was largely due to customer-driven design changes or switching models that extended the planning phases. However, during the third quarter, we booked nearly $1.1 billion in backlog to finish the quarter at $2.9 billion in renewals. This includes approximately $250 million in backlog for Premier PV, battery storage and our O&M business. These 3 businesses also accounted for over 8% of the renewables revenue generated in the third quarter, and we are confident that we will continue to capitalize on growing these lines of business that help supplement our EPC work. We did experience lower margins in the business in the third quarter compared to last year due primarily to fewer project closeouts and unfavorable weather conditions that negatively impacted our productivity on several projects. In all instances, these productivity challenges are short lived and most of our contracts contain provisions for named storms or customer-driven delays. In industrial services, revenue was lower, driven mostly from a decrease in activity in our Canadian operations as well as in our non-union industrial businesses where we are winding down or divesting certain subscale or low margin businesses. On the other hand, margins did improve due to strong execution on natural gas projects in the Western U.S. and improved bid margins on work booked over the last 12 to 18 months. The non-union industrials business was recently awarded a power generation expansion in Oklahoma in the fourth quarter and has the potential to close on a second project in Texas that will support the energy needs of newly constructed data center. We continue to be excited about the opportunities ahead for natural gas power generation and have built a strong team of experience in building dozens of large and small-scale gas power projects throughout their careers. We are also adding additional experienced resources to further build out these teams. The Pipeline business, while operating much more profitably and efficiently due to cost control efforts, did see some revenue and margin decline from the prior year due to a very high-performing project in the Mid-Atlantic we were executing in the third quarter of last year. In summary, it was another solid quarter where our Utilities segment was able to drive higher margins to compensate for some challenges in our Energy segment margins, which puts us in a great position to not only finish with a strong Q4, but to achieve our operational and financial targets for the year. Now, I'll turn it over to Ken for more on our financial results.
Ken Dodgen: Thanks, Tom, and good morning, everyone. Our Q3 revenue was over $1.6 billion, an increase of $119.6 million or 7.8% over the prior year, driven primarily by growth in both our Energy and Utilities segments. The Energy segment was up $123.1 million or 13.9% from the prior year, driven primarily by solar, partially offset by lower industrial construction activity. The Utilities segment increased $15.6 million or 2.4% from the prior year, primarily due to an increase in communications activity, partially offset by slightly lower Power delivery revenue. Gross profit for the third quarter was $198.6 million, an increase of $24.7 million or 14.2% compared to the prior year. This is primarily due to the increase in revenue in both segments and improved Utilities margins. As a result, gross margins were 12% for the quarter compared to 11.4% in the prior year. Turning to our segment results. Utilities segment gross profit was $87 million, up $22.4 million or 34.6% compared to the prior year. Communications gross profit was higher due to revenue growth. Power delivery gross profit was higher due to improved efficiency and an increase in higher-margin storm work, which contributed about $5 million of incremental gross profit during the quarter. Power delivery also did not experience the same challenges on legacy PLH products that negatively impacted margins in the prior year. Gas gross profit was mostly flat on slightly higher revenue. We believe we are on track to see improved margins in the segment for the full year compared to 2023. While we expect to see some modest benefit from additional storm work early in the fourth quarter, we anticipate seeing a seasonal slowdown in activity and increased time off for employees after the storm work that could impact our productivity in Q4 and offset some of the storm benefit. The combination of these factors leads us to believe that gross margin in the Utilities segment for the full year 2024 will land in the low to mid-9% range, up from 8.6% in the prior year. In the Energy segment, gross profit was $111.5 million for the quarter, an increase of $2.3 million or 2.1%. The increase was primarily driven by higher revenues in the renewables business and strong performance on natural gas power projects in the Western U.S. This was partially offset by lower productivity on certain projects related to weather in the quarter. We also had higher margins on Mid-Atlantic pipeline project in 2023 that did not repeat in 2024. As a result, gross margins for the segment were 11%, down from 12.3% in the prior year as we expected. We expect full year 2024 gross margins to be a little over 11%. Looking at SG&A, expenses in the third quarter were $98.1 million, an increase of $13.7 million compared to the prior year but down $2 million sequentially from Q2. The increase in SG&A is primarily due to increased personnel costs to support our growth. As a percent of revenue, SG&A rose slightly from the prior year to 5.9%. We still expect SG&A will continue to trend toward our full year target in the low 6% range. Net interest expense in the quarter was $17.9 million, down from $21.1 million in the prior year. The decrease was driven by lower average debt balances and lower interest rates, partially offset by a $1.4 million unrealized loss on our interest rate swap in the quarter. We expect that our full year interest expense will be between $68 million and $71 million down from our previous estimate of $71 million to $74 million provided last quarter. Our effective tax rate was 29% for the quarter, and we believe this rate will be consistent for the full year. Earnings per fully diluted share rose $0.18 or 20% compared to last year, driven by higher operating income and lower interest expense. Adjusted EPS was also higher by $0.20 and adjusted EBITDA increased by nearly $8 million to $127.7 million for the quarter. Turning to cash flow. Our third quarter cash flow from operations was $222 million, which represented our best quarter as a company. Year-to-date cash flow from operations is $217 million compared to last year. The primary drivers for this improvement were an increase in deferred revenue related to upfront customer payments, higher operating income and a $40 million decrease in contract assets year-to-date, including a $67 million reduction in contract assets since the end of Q2. The decrease in contract assets is a partial put forward from Q4, but it's also due to our working capital initiatives, particularly our team's efforts to bill customers timely. We have more work to do, but we are encouraged by the progress. Based on the pull forward of cash flow from Q4, we expect fourth quarter cash from operations to be lower compared to Q4 of 2023. But despite this, the full year is shaping up to be a very good year for operating cash flow as we make progress towards our goal of 4% to 5% of revenue. Moving over to the balance sheet. We continue to have very strong liquidity of almost $625 million, which includes over $350 million of cash and $272 million in available borrowing capacity on our revolver. Our trailing 12-month net debt-to-EBITDA ratio, as defined by our debt covenants, dropped to just under 1.4x EBITDA at the end of Q3. This puts us below our target range of 1.5x EBITDA and positions us to reduce our debt balance and further lower our interest expense in the coming quarters. Total backlog at the end of Q3 was just under $11.3 billion, up $366 million from the end of 2023 and more than $800 million higher sequentially from Q2. Fixed backlog was up $377 million from year-end, primarily due to solar and other Energy segment bookings. MSA backlog was essentially flat from year-end as a decrease in Pipeline and Canadian MSA work was offset by additional Utilities MSA backlog. We are optimistic that we have the potential to increase fixed and MSA backlog by year-end if we do not see any delays in contract signings, which at this point, we do not anticipate. Before turning it back over to Tom, I'll close the financial overview with our updated guidance. We are raising our full year EPS guidance to $2.85 to $3 per share and adjusted EPS guidance to $3.40 to $3.55 per share due to our strong operational performance and our lower expected interest expense for the year. We are also modifying our adjusted EBITDA guidance to $405 million to $420 million as we feel more confident about the higher end of the range we provided in Q2. Through Q3, we've had very strong project execution resulting in improved profitability while also growing backlog and increasing cash flow. The outlook for the fourth quarter and opportunities we see on the horizon should set this up for another solid year in 2025. With that, I'll turn it back over to Tom.
Tom McCormick: Thank you, Ken. Prior to opening the lineup for questions, I'd like to recap some of the key points of the quarter. First, our record revenue, earnings, backlog and cash flow from operations demonstrate that we are successfully executing our strategy to grow while improving profitability and cash flow. Although Q3 is typically a strong quarter for us on a seasonal basis, the efforts of our teams in the field and in our offices deserve recognition for their hard work and outstanding execution to accomplish these milestones. Second, we had substantial improvement in our Utilities segment's margins, driven by an improved mix of work from communications, owing strong margins in gas operations, and improving power delivery margins through resource allocation to both higher-performing regions and from storm response. I can't be thankful enough to the men and women that answer the call to serve their fellow citizens even while they and their families were also experiencing hardships. We continue to keep those impacted by these weather events in our thoughts and prayers as they continue to rebuild and get their lives back to a more normal status as quickly and as safely as possible. Third, the market for renewables continues to be resilient and strong. We have record backlog approaching $3 billion and are confident that we will maintain our successful track record of executing on behalf of our clients while expanding our product and service offerings to achieve our growth targets through 2026. Lastly, we are already seeing opportunities emerge to grow non-union and industrial businesses and have the teams and expertise to win our share of work. The growth prospects in our focused end markets are such that we believe that we are well positioned to thrive regardless of the outcome of today's election. The need for infrastructure investment to help our economy grow and support next-generation technology is a bipartisan objective. We will continue to keep our focus on being the best allocators of capital in our space with the goal to generate the best returns on capital and drive higher margins and cash flow. We believe this is the best strategy to deliver the best outcomes for our employees, our customers and our shareholders. We will now open up the call for your questions.
Operator: [Operator Instructions] And your first question comes from the line of Lee Jagoda with CJS Securities.
Peter Lukas: It's Pete Lukas for Lee. Congrats on a great quarter. Just wanted to -- you touched on it in your prepared remarks in terms of backlog, a nice positive this quarter, and you've constantly said you expect book-to-bill to be above 1x exiting the year. How should we think about Q4 in terms of potential bookings, given that you're already above that 1x? I think you had said in your remarks, you expect that could increase by year-end.
Ken Dodgen: Yes, look, I think Q4 is going to be down sequentially from Q3. Q3 was a very good quarter for us, but should be right at 1x or maybe just a little bit above 1x for Q4.
Peter Lukas: Helpful. And then just one broad question. Just looking out a little further, can you speak broadly about the pipeline of opportunities you see for your order book beyond '24 and how they should translate into revenue growth, looking at it kind of by segment for the next, call it, 12 to 18 months?
Tom McCormick: If you look at -- if you start with Energy, and we'll pull renewables out and talk specifically renewables to start with, they're booked for 2025 now as we speak. They're actually booking work that's extending into 2026. And some of that work will even complete extend into 2027. So there's a lot of opportunity there in our renewables business. . In the industrial businesses, there's a lot of opportunity out there. We're seeing a lot with respect to opportunities with respect to power generation and anything that supports power generation, pump stations, compressor stations and the like. So we're seeing a nice bit of work, probably more than we've seen in the last several years. So I would say heavy Civil, again, there's TXDOT spend, it's just pretty much as is all the time. The TXDOT spending a certain amount of money here in Texas and Louisiana, each and every year. They're going to continue to spend that amount of money we continue to win our share of the work. Pipeline, we'll see. I mean Pipeline has seen more opportunities, but it's probably relatively flat to where they're going to end up this year, then we'll just see what happens post-election, but that's going to take some time to become reality.
Peter Lukas: Very helpful --
Tom McCormick: I'm sorry, Ken just reminded me. Gas looked good. We're seeing some opportunities in gas. But again, it would be low single digits, probably relatively flat. We may see some upside just based on the PUCs approvals out in California of budgeting and spending plans. So for 2 of our clients out there, we have some clients here in Texas that are spending more money. But again, it's -- so there's some opportunity there with respect to power delivery. Comps, we're seeing up just with the number of data centers being built and developed across the country. And then I said gas. Gas would be relatively flat, maybe up slightly.
Operator: And your next question comes from the line of Jerry Revich with Goldman Sachs.
Adam Bubes: This is Adam on for Jerry. Margins in Utilities, up 270 basis points sequentially, well ahead of normal seasonality. Can you just expand on the drivers of that really strong sequential improvement versus normal seasonality? And any updated thoughts on 2025 puts and takes around margin expansion in this segment?
Ken Dodgen: Look, most of the quarterly improvement sequentially was just seasonal. About $5 million of it, as I mentioned in my remarks, were related to storm work, which is kind of onetime. Ironically, while that benefited, the storms benefited us on the Utilities side, we had about an equal negative impact on the Energy side as well. So net-net, it was really pretty much neutral for us for the quarter. And then, look, with respect to next year, we continue to believe we're going to see margin improvement. We're still racking up the numbers for next year, so I can't give you anything more precise than that. But in general, we are expecting Utilities margins to have a sequential improvement going into next year.
Adam Bubes: And then on the organic growth side of Utilities, it looks like growth accelerated sequentially. You folks continue to focus on project selection and margin expansion. So just wondering, within that context, how we should expect the Utilities organic growth cadence from here?
Ken Dodgen: Yes. Look, year-over-year at a high level, I'm expecting Utilities revenue to grow probably mid-single-digits. It will be a mix. On the stronger side will be power delivery and communications. On the little bit weaker side, but still probably growing next year to Tom's point, will be gas.
Operator: And your next question comes from the line of Drew Chamberlain with JPMorgan.
Drew Chamberlain: First one, just kind of a follow-up on the last one. Can you talk a little bit about what you're seeing on the margin side in Utilities in 4Q? I think the guide implies a pretty big sequential -- or material reduction in 4Q over 3Q. And I'm wondering if that's just normal seasonality. If there's some other impact in there.
Ken Dodgen: Yes, it is normal seasonality. We have parts -- we work in parts of the country, in particular in our gas utility side of the business, where when winter hits, everything just shuts down. And Q3 is traditionally our highest quarter, not only from a revenue standpoint, but also from a margin standpoint, just because everybody is working at capacity and kind of where our normal seasonal weak is during the year. So Q1 and Q4 are generally kind of shoulder quarters for us that can have some variability in margins depending on when we shut down work in Q4 and then when we start up working again in Q1.
Drew Chamberlain: Okay. Great. And then maybe stepping back and looking a little bit of picture here and thinking about capital allocation. I mean I think the leverage has really, really come down, maybe a little faster than just what anybody had expected. Just can you kind of talk through what the priorities are right now? And what do you see on the M&A side, maybe thinking about returning capital to shareholders. Obviously, the dividend going higher this quarter. I mean just kind of run us through the latest thoughts there would be very helpful.
Ken Dodgen: Yes, happy to do that. Look, our capital allocation priorities are always going to be support -- the top of the capital list is supporting the organic growth of our business, and that hasn't changed. And that's the working capital support as well as equipment. Second is debt paydown. And with the strong cash balances that we finished the quarter with, as well as our continued focus on improving free cash flow, we felt that, in connection with the discussion with our Board, it was a good time to send a clear signal to the market that we felt it was -- it would be an easy move to raise our dividend. With respect to debt paydown, we are -- we just paid down $50 million on our term loan last week. And I expect we will pay down another $50 million by the end of Q4 as well. And then within M&A, I'll flip it over to Tom. But in general, we've seen very good deal flow.
Tom McCormick: There's been a lot of flow in M&A. It's just finding the right targets. So there's a lot of activity, which nothing that we've stepped away from necessarily. It's just we are going to be very specific and surgical about what we look at and what we move forward with. And we just haven't seen the right target yet.
Operator: And your next question comes from the line of Kevin Gainey with Thompson Davis.
Kevin Gainey: Kevin on for Adam. Maybe if you guys want to talk about the outlook for Q4 EBITDA margins and what -- or the EBITDA range and what it would take to get from the low end to the high end?
Ken Dodgen: Yes, look, I mean, the low end to the high end is going to be really heavily driven on 2 things. One is Utilities, which we're just talking about with Drew and kind of when the Q4 shutdown happens. And then a little bit on the Energy side is going to be related to project closeouts and the timing of wrapping up both some renewables jobs as well as some industrial jobs that are in progress right now that are scheduled to wrap up in Q4. So in general, we feel good about Q4. It's why we're able to not only slightly increase the range, but also tighten the range a little bit down to $0.15 at EPS and adjusted EPS, but those are going to be the main drivers.
Kevin Gainey: Sounds good. And then maybe we can also talk about how you guys are thinking about cash flow in Q4. I know you said it'd be weaker than Q3, but maybe what are some of the things that would move around in that?
Ken Dodgen: Yes. Weaker definitely with -- in comparison to prior year, 2023 Q4, just because if you look historically, Q4 has been one of our main cash generation quarters. Some of that was a -- some of Q3's benefit was a pull forward from Q4. And unfortunately, I don't have exact numbers to quantify it, but we just know from looking at timing of customer projects and some work that we were doing that it was a pull forward from Q4. But as I mentioned, the big chunk of it was just really good down payments from customers on projects that we signed late in Q2 as well as in Q3. So I expect Q4 is still going to be a solid quarter for us from a cash flow perspective. I just don't think it's going to be another $200 million -- or $180 million to $200 million quarter like it was last year and I think the year before as well. So ballpark, I'm kind of thinking of maybe another -- it may be about like $100 million quarter, but there's still a lot that can move there, especially with pending contract signings that we have that could happen in Q4, potentially slip to Q1.
Kevin Gainey: Sounds good. And maybe if I could squeeze one more in just on the California rate piece. How do you guys think about that as far as what that could be as a growth driver for '25?
Tom McCormick: Well, it definitely help our gas distribution businesses out there. We have -- it affects 2 of our major clients out there. So we would expect to see some project opportunities develop into 2025. It's really early days right now, but I'm sure that they're developing their plans for '25 and '26 or further out based on those approvals. But we'll get involved with them either later this year, later in the fourth quarter, probably early next year to actually get some visibility into what their plans are.
Operator: And your next question comes from the line of Brent Thielman with D.A. Davidson.
Brent Thielman: Great quarter. Just on the Power side of the Utilities segment. As we move into next year, do we effectively lap some of these comparisons you've had this year just in terms of headwinds from shifting your presence in certain markets and certain customers? Is there going to be any sort of hangover of that into 2025?
Tom McCormick: No, I don't think so. I think the improvements are going to continue through the year. All of this takes time. And I think we laid out back in April about a 3-year plan for -- that just continue to improve margins and performance there to change over transition into more project work versus MSA work. And we're in that phase of that. It's just going to -- you'll see that get better through the course of 2025 unless you'll see us landing on our targets either late that next year or into 2026, which is what we've been targeting.
Brent Thielman: Okay. Awesome. And then, Tom, solar has just been a fantastic story for the company. And I guess what I'm wondering is a much larger piece of your business today. But could you talk about what you're planning and doing internally to sort of support the continued growth of that business? And then maybe also just taking a step back do you want it to be a lot larger as a proportion of the company maybe versus some other areas?
Tom McCormick: Well, I mean, we're going to keep growing that business organically. We are looking at -- there's opportunities for us if we can find the right targets to supplement that business through an acquisition, but it would be a smaller acquisition just to continue with that EPC offering that we provide to our client and complement that. But I think what you're seeing is with the eBOS and the O&M and the battery storage services that we're now providing, you're going to see more growth in that. I mean battery storage has actually got $100 million worth of work. I think combined, those 3 have about $250 million of book work and -- that's -- most of that is going to take transpire in 2025, and it's going to -- they're going to continue to grow. Solar is going to grow. It's just as it gets bigger, it grows at a slower pace. So we're going to continue to be disciplined about growing our project teams, and we're going to continue to be disciplined about what clients we work for and what contracts we sign. And our goal is to keep it profitable and just to continue to be disciplined about it because it has worked for us.
Operator: Your next question comes from the line of Judah Aronovitz with UBS.
Judah Aronovitz: Judah Aronovitz on for Steven Fisher. Just the gains on sales in the quarter, it was lower than Q2, but still, I think, higher than we expected. What was that related to?
Ken Dodgen: Some of it was equipment and then one in specific was a facility that we sold in the DFW area that we no longer needed.
Judah Aronovitz: Okay. That's helpful. Just one more quick one. How much storm work do you have embedded in your Q4 guidance?
Ken Dodgen: Really, just a couple of million is about it, Judah. We were working on storm earlier in -- well, last month in October. And so we really only have a couple of million built in that because it was heavily driven by Milton, which didn't do quite as much damage. It was mostly Florida where the recovery was much quicker and crews were released much faster.
Operator: [Operator Instructions] And your next question comes from the line of Julio Romero with Sidoti.
Alex Hantman: This is Alex Hantman on for Julio. In the Utilities segment, you mentioned that one of the drivers of higher revenue was increased communications activity. Could you add a little bit more color around that and talk about some of the things that you're seeing there?
Tom McCormick: For us, a lot of it's fiber related. It's fiber -- building fiber rings around cities or outside of cities for the data centers, in hyperscalers, a lot of it's the fiber-to-the-home programs that are in place. So most of that work is associated with that. There's just a lot of that activity going on in Texas and the other states that we're in and that we're seeing more and more work.
Alex Hantman: Thanks for the context. And then one more quick one, how much were solar revenues in the quarter?
Tom McCormick: Solar revenues in the quarter should have that number handy, it was a little over $450 million.
Operator: And that concludes our question-and-answer session. I will now turn the conference back over to Mr. Tom McCormick for any additional or closing remarks.
Tom McCormick: Thank you. Thank you for your questions and interest in Primoris. We are pleased with our results thus far, and we'll look to finish out 2024 on a positive note and set ourselves up for another solid year in 2025. Thank you again, and we look forward to updating you on the full year results and 2025 guidance in the first quarter of next year.
Operator: And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.